Rebecca Collins: Good afternoon everyone. Thank you for joining us on today's webinar. Before we begin, I'd like to announce that we'll be referring to today's earnings release which was sent to the newswires earlier this afternoon. I'd also like to remind you that this conference call could contain forward-looking statements about Destiny Media Technologies within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon current beliefs and expectations of management and are subject to risks and uncertainties which could cause actual results to differ materially from those forward-looking statements. Such risks are fully discussed in the company's filings with the SEC and SEDAR, and the company does not assume any obligation to update information contained in this call. During the webinar, we will discuss certain non-GAAP financial measures. The non-GAAP financial measures are presented in the supplemental disclosures and should not be considered in isolation of or as a substitute of or superior to the financial information prepared in accordance with GAAP and should be read in conjunction with the company's financial statements filed with the SEC and SEDAR. The non-GAAP financial measures used in the company's presentation may differ from similarly-titled measures presented by other companies. A reconciliation of the non-GAAP financial measures to the most comparable GAAP financial measures can be found in the earnings press release. Also, I'd like to mention that following the presentation, there will be a question-and-answer session during which you can submit your questions by selecting the raise hand icon at the bottom of your screen. Your questions will be pulled in the order that they're received and at which point you will be prompted to unmute your microphone before speaking. With that I'd like to turn the call over to your host Fred Vandenberg.
Fred Vandenberg : Thanks Rebecca. Q1 revenue was up 6.2%. Unfortunately we had a little bit of a blip in our marketing efforts where our lead generations weren't as effective as we would like them to be. So this increase is really just in spite of that, a little bit of a setback there, but we've adjusted that back and we've learned some -- a few things from it. We also implemented new pricing discounts for volume users. We've talked in previous quarters about independent sales, where we're trying to focus in on larger international distributions. And what we've seen is that, well, we had a little bit of a lower sales amount for independents. We increased the average sale per purchase. So we think that's a great sign. EBITDA is just slightly short of $300,000. Expenditures are up on the P&L. You can see that in the P&L, they're about 27%. But this is really a function of how we've been capitalizing software and the impacts of that. So depreciation of that previously capitalized software development cost is hitting the P&L and now we've lowered the amount of salaries and wages that are capitalized. So if you exclude all those things, our EBITDA is about $100,000. Really, while the P&L shows a fairly large increase in expenditures, our real costs are only up about 2% for the quarter. I'd like to talk about our core strategy again. Really the core strategy is to grow Play MPE use in new and existing territories. We've invested heavily in making it easy to expand. We do that by several investments across the platform, making it easier to purchase user-driven network growth initiatives. And outside of the platform, we've made some improvements in marketing and biz dev. We want to build a foundation of that core Play MPE revenue. So we want to expand that core revenue base and leverage that sort of anchor business and add new layers of new businesses and new services. MTR is one of those, one example of that. So what we've done is Caster is the sending side of the Play MPE platform. It's the platform that our customers use to purchase the distribution. And what we did in Q1 is we built this self sign-up so new counter creations can be done by customers themselves. And we've also, we talked about that at the annual results because it was before we had talked about the annual results. We also added automated payment and invoicing for full service users, including e-commerce package selection, pricing and payment support, and promotional code and volume pricing. The last bit of that really marries up with some of the marketing initiatives that we're working on. These are really the self sign-up in the automated payment process is two legs of the three legs that will make it fully automated sales process. And I'll talk about why we're doing that and what we hope to achieve with that a little bit later but basically we're just trying to sell more to independents globally and we think that this is a going to be a big step forward. On the player side what we did is again is we're trying to make the network grow itself. Essentially, the more traffic there is in it, the more revenue we'll be able to get from it. And what we did in the quarter is we put in something called [Invited Connection] (ph). That's where the recipients themselves can invite others to join the platform. It's really just the first minor step in a whole slew of things we're working on. But that will help us grow that recipient network. And then on MTR, which is the new platform that we launched that tracks radio plays. So Play MPE is the distribution to different promotional destinations, including radio. MTR is an add-on or a product that we've added in late fiscal 2024. And what we worked on in Q1 was the Caster integration. So the Play MPE integration. So it is much easier for existing Play MPE customers to purchase MTR. So looking forward, why are we doing this? Again, I talked earlier about the fully automated sales process. Once we do this, and we are targeting later this fiscal year to have this complete. We think this will be a bit of a game changer in terms of our ability to sell to independents in territories that currently exists, but also into new territories where we have a network of use. We have recipients engaged. We just have very little independent record label revenue, and that's what we're really targeting here. Those territories are Sweden. We have some independent sales where in New Zealand, we have very little or Portugal, we have none. And so there's a lot of different territories. And those are just three examples around the world. But we have a lot of different examples. And we hope to build both distributions within those territories, but again those international sales, and we think those are the largest sales. Longer-term analytics, those analytics is a big word for Caster, but it is a value add that we hope to build into Caster to reinforce sales and also add detailed analytics that are saleable themselves. Again, with a player, we are adding release cross promotion, which is really just a tie-on to the Invited Connection is where recipients can share releases, if they're giving permission to do that. And that will help build that recipient platform. Longer term, we are building out the abilities to add information that will we think is salable to the actual recipients. We have currently thousands -- tens of thousands of recipients around the world that are interested in other pieces of information, we think that we can include in the platform and sell that information for premium users. We are still going to keep the free access that they have so that the promotion aspect of Play MPE is still there. But we think one-stop shop for the recipients will be a saleable feature. MTR sales are still small, but they're growing and we're retaining customers, and we're growing the average sale per customer and all these nice little things, but it's still pretty small volume of sales. And that's because we are building out the ability to sell at volume. There's a lot of customers that have expressed interest in using MTR. But until we have the capacity to easily sell larger sales, we have not been able to sell. And that should be ready this fiscal year. I don't know the precise date. I don't want to put a precise date on it, but I believe it's Q3 that it should be ready. Marketing, I've mentioned this a few times that we have made last year in Q1 of 2024. We made a big investment in acquiring new staff and really taking a hard look at what we were doing in marketing. And we came up with a lot of things to improve. We are working on the basic search engine optimization, increasing the ranking of keywords. So if customers -- prospective customers are searching for us, that we can rank higher in the search and get -- and have a stronger ability to grow organically. We implemented lead source tracking in Q1 this -- just this past quarter. We had lead tracking, but we didn't have it split by source which severely limits the usefulness of it. But we implemented that in Q1, and we are looking at improving the ROI of any of our marketing efforts. We increased our domain authority and our site speed. I don't know if you've ever looked at our sites, but they are a lot faster now. They're a lot easier to navigate. And we're doing -- we're measuring a number of things on their leads, leads to account all these different returning customers, site visits, all these different metrics to figure out what will make our platform grow -- and it's -- there's just too much to talk about. But basically, we're spending a lot on marketing, focusing on that. As well in Q1 in October, we hired a new Director of Business Development, and we are working on new market acquisition strategies and account reengagement processes to really automate the selling to existing customers, the low-hanging fruit. And with that, I think I'll turn it over to Q&A.
A - Rebecca Collins: Great. Thank you, Fred. If you do have a question, please use the raise hand option at the bottom of your screen and your question will be pulled in the order that they're received. If you raise your hand, please ensure that you have got access to unmute your microphone. And if you wish to retract that question, you can also just click the raise hand icon again to lower your hand. Your camera will remain off, but once prompted, you can unmute your microphone before asking your question. So to start, it looks like we do have one just in the Q&A box, Fred. Can you also track radio ads that are played with [Meter] (ph)?
Fred Vandenberg: Radio advertising, we could, we don't. But the functionality is the same. It's actually a really good question because it is a really good possible business where advertisers will want to see if their ad gets played at the appropriate time. And the functionality of the way Meter works is precisely capable of doing that, yes.
Rebecca Collins: Great. It doesn't look like we have any other raised hands or any other questions. So I think that's it.
Fred Vandenberg: I think one just maybe popped up.
Rebecca Collins: One just popped in, yes. Do you have comments on Downtown Music acquisition by Virgin in [brackets] (ph) Universal and how it can bring new business?
Fred Vandenberg: Sorry, can you read that one again?
Rebecca Collins: Yes. Do you have comments on Downtown Music acquisition by Virgin in brackets Universal and how it can bring new business?
Fred Vandenberg: I don't. Universal is constantly acquiring new companies. I haven't really thought through how that would impact us.
Rebecca Collins: Okay. And that could be it.
Fred Vandenberg: Okay. Thanks, everyone. I know this was -- it's a tight -- always a tight quarter next to the year-end. So not a ton of information to share, but I hope that was useful. And I'll see you next quarter.